Operator: Good morning, ladies and gentlemen, and welcome to the Genesis Energy Second Quarter 2023 Earnings Conference Call. After the prepared remarks, there will be an opportunity to ask questions. Instructions will be given at that time. And without further ado, I will now turn the program over to Dwayne Morley.
Dwayne Morley: Thanks, Chris. Good morning. Welcome to the 2023 second quarter conference call for Genesis Energy. Genesis has four business segments. The Offshore Pipeline Transportation segment is engaged in providing the critical infrastructure to move oil produced from the long-lived world-class reservoirs from the deepwater Gulf of Mexico to onshore refining centers. Sodium and Sulfur Services segment includes trona, trona-based exploring, mining, processing, producing, marketing and selling activities, as well as the processing of sour gas streams to remove sulfur at refining operations. The Onshore Facilities and Transportation segment is engaged in the transportation, handling, blending, storage and supply of energy products, including crude oil and refined products. The Marine Transportation segment is engaged in the maritime transportation of primarily refined petroleum products. Genesis’ operations are primarily located in Wyoming, Gulf Coast states and the Gulf of Mexico. During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides safe harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those safe harbor provisions and directs you to its most recently filed and future filings with the Securities and Exchange Commission. We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I would like to introduce Grant Sims, CEO of Genesis Energy, L.P. Mr. Sims will be joined by Kristen Jesulaitis, Chief Financial Officer and Chief Legal Officer; Ryan Sims, President and Chief Commercial Officer; and Louie Nicol, Chief Accounting Officer.
Grant Sims: Good morning to everyone, and thanks for listening in. As we mentioned in our earnings release this morning, our financial results for the second quarter were slightly ahead of our internal expectations and once again demonstrated the resilient earnings power of our diversified market-leading businesses. Notably, because of steady production across our footprint, along with the continued ramp in volumes from BP's Argos facility, which achieved first production in April and has ramped quicker than we expected. Our Offshore Pipeline Transportation segment was able to overcome a slightly longer than anticipated plain producer downtime at one of our major host fields in the Gulf of Mexico. During the quarter, our soda ash business also returned to normal operating levels as rail service in and out of Green River, Wyoming, which restored to adequate levels. In addition, our Marine Transportation segment continued to exceed our expectations, driven in large part by continued tightness for Jones Act equipment. As we look ahead to the remainder of the year, our expectation of the continued strong performance from our offshore pipeline transportation, Marine Transportation segment will likely be somewhat offset by softer than previously expected soda ash prices, primarily in our export markets. slowing industrial activity worldwide, a slower reopening of China's economy than we had anticipated just three months ago as well as anticipated new natural soda ash production from the Baron facility in Inner Mongolia has driven many consumers with soda ash, especially in Asia and Latin America, to work down existing inventories and ultimately delay purchases in new soda ash volumes here in the back half of 2023. When existing customers delayed their purchasing activity or otherwise refused to take contracted volumes at the then contracted price. The most efficient option for us is to find a home for these potentially stranded volumes at the highest netback price we can get to ensure the tons move so we can operate at full utilization to spread out our fixed cost and minimize our average total cost of production per ton. As discussed in this morning's release, we are today adjusting our full year guidance for adjusted EBITDA to a range of $725 million to $745 million for the full year which is only a little over 5% below our original guidance range. If you exclude the $15 million we did not realize in the first quarter due to factors outside of our control like weather and inadequate railroad service. As you may recall, in 2022, we, in fact, exceeded our initial annual guidance by more than 15%, even after excluding approximately $41 million of nonrecurring income we received in 2022.  Having said that, let's put this revised 2023 outlook and perspective. First, we are still going to deliver record annual adjusted EBITDA for the partnership. Second, we are going to deliver record segment margin for Offshore Pipeline Transportation segment. Third, we are going to deliver segment margin for our Marine Transportation business that we have not seen since 2015. And finally, even with the outlook for the rest of the year, it is still likely we will deliver a record contribution from our soda ash business. Furthermore, the midpoint of this revised guidance range is still delivering our stakeholders with consolidated sequential growth in the range of 8% to 10% and over our normalized 2022 performance, which again excludes the roughly $41 million of nonrecurring income we received last year. Importantly, we also continue to expect to exit the year with a leverage ratio as calculated by our senior secured lenders at or slightly above our long-term target leverage ratio of 4 times. Additionally, we expect to cover our current distribution to common unitholders by some 4.3 times for the full year of 2023, not 1.3 or 1.6, but 4.3 times. Looking through the short-term noise, I can sit here today and say the long-term outlook for Genesis has not changed and remains as constructive as I've ever seen it. We remain very excited about the expected ramp in our earnings in the coming years and the resulting flexibility to deliver long-term value for all of our stakeholders. As we mentioned in the release, we currently expect our financial performance in 2024 to be greater than 2023, driven in large part by a known contracted and identified ramp in offshore volumes steady performance from our Marine Transportation segment, a recovery in the supply-related underperformance in our Sulfur Services business and the additional soda ash volumes we expect to produce and sell from our nearly completed Granger expansion. Then in 2025, we would expect a significant step change in our offshore volumes and segment margin contributions as both Shenandoah and Salamanca are expected to come online. Despite some expected volatility in soda ash margins over time, this ramp in expected earnings gives us a clear line of sight to generate roughly $200 million, $300 million, maybe even $400 million per year of cash flow after all of our cash obligations, including interest payments, preferred and existing common unit distributions at the current levels. Maintenance capital requirements, principal payments on our ALK senior secured notes de minimus growth capital, et cetera. Started in late 24 and accelerated into 2025, an enviable position for a company our size. Now, I would touch briefly on our individual business segments. Our offshore pipeline transportation segment performed in line with if not slightly ahead of our internal expectations. Despite longer than anticipated planned producer downtime at one of our major host platforms, this extended downtime was partially offset by quicker than anticipated ramp in volumes from BP's operated Argos facility and set volumes from Murphy's operated King's Key as well as base load volumes from our other existing host fields. As we mentioned last quarter in mid-April, we started to receive first oil from BP's operated Argos floating production facility, which is supporting the 14 wells pre-drilled and completed a BP's operated Mad Dog two field. Argos is currently producing approximately 70,000 barrels of oil from just four of their 14 existing wells. Consistent with BP's publix's disclosures, we would expect volumes from Argos to ramp over the remainder of 2023 towards its nameplate capacity of 140,000 barrels per day with a 100% of the volume slowing through our 64% owned and operated chops pipeline for ultimate delivery to shore. In addition to the 14 wells at the Mad Dog two field BP recently announced a successful appraisal, well that is, is an extension of the existing Mad Dog complex and could be developed through a three to five well tieback to Argos or perhaps to either of the existing Mad Dog or Atlantis production facilities. This is yet another example of additional economic subsea tieback opportunities. It exists once a host production facility is in place. All the volumes coming across Argos, mad Dog and Atlantis will continue to add to our steady base of volumes flowing through our industry leading crude oil midstream footprint in the Central Gulf of Mexico for decades and decades to come. As we look ahead to the new volumes from Nando and Salamanca in late '24 and early '25, it is important to know that we remain on schedule and importantly on budget with our chops expansion and the new sync pipeline with completion for both expected in the second half of 2024, the combined 160,000 barrels of oil per day of incremental contracted production handling capacity is underpinning our investment and will provide Genesis with an approximate 5x construction multiple. This 5x multiple is based solely on the firm minimum volume commitments, which is a reminder is set at approximately 60 to 70% of the volumes the operators expect to actually produce. Additionally, all of the new capacity we are currently installing is not contracted with these first two quote unquote anchor fields as we like to call them. Therefore, to the extent the anchor fields exceed these minimum volume levels, which we would expect, or if we are able to secure incremental third-party volumes on our expanded assets, and I'm confident we will, our construction multiple will go down accordingly. I know I've said this before, but I feel that it's important to reiterate that the activity levels we are seeing in the Gulf of Mexico continue to be as robust as I've seen them in my 30-plus years of focusing on the Gulf. There's been some recent industry discussion that the majority of the perceived Tier 1 acreage in short-cycle onshore shale basins is getting closer to full development. And as a result, you can see production levels plateauing. Whether or not you believe this, I can tell you this. We are seeing both existing and new operators with vast acreage positions in the Permian and in other onshore shale basins, looking to supplement their short-cycle onshore production with longer cycle, larger scale, cost-efficient and lower carbon intensity production in the deepwater, which only adds to the future long-term prospects of the Gulf of Mexico. The onshore shale basins really became exciting 15 years to 20 years ago with the technological breakthrough of hydraulic fracturing. I can share that there are two significant technological breakthroughs that are driving this dramatic increase in activity in the deepwater Gulf of Mexico that we've repeatedly referenced. First, there have been significant advancements in obtaining an algorithmically processing seismic data that allows the producing community to better identify and define geologic prospects, especially below salt and thereby significantly reducing exploratory risk and development costs of these world-class reservoirs. Second, there have been significant advancements in the technology required to safely and responsibly exploit and produce hydrocarbons from high-pressure and high-temperature reservoirs, with some pressures exceeding 20,000 PSI. These technologies have been proven now by a number of operators. And as a result, entire new development horizons are being opened up in the Gulf of Mexico that simply were technologically out of reach just three years or four years ago. As the leading independent midstream provider for crude oil producing the deepwater areas of the Central Gulf of Mexico, we are super excited about the future prospects of our core business, and we continue to believe the combination of strong, resilient, steady and growing base volumes combined with contracted growth projects underpinned by firm take-or-pay agreements and expected future activity described above all will provide the foundation for growing and stable cash flows from offshore pipeline transportation segment for decades and decades ahead. Turning now to our soda and sulfur services segment. While our soda ash business did return to a more normal operating quarter during the second quarter, the broader macro story for soda ash has continued to soften and now seems to have quickly moved from a well-balanced global market into a somewhat oversupplied market, primarily in our export markets. As we look back over the last 12 months to 18 months, we have seen and we're ultimately the beneficiary of a market that saw unprecedented demand growth for soda ash, combined with lower global supply and an increasing cost structure for synthetic producers as a result of higher energy input costs, all of which ultimately drove pricing and margins to all-time record high. While we all had hoped this environment would last forever and retrospective was never realistic to expect to continue at those margin levels for an extended period of time and we ultimately knew soda ash prices and margins would return to historical averages at some point in the future. As we sit here today, the combination of slower global industrial production, a slower reopening of China's economy, and anticipated new global natural gas -- natural supply, which suggests that pricing and margins will, in fact, return to historical averages sooner rather than later. Even with this revised outlook for the remainder of the year, we still believe we are likely to achieve the highest contribution in the history of our soda ash business this year. It is important to remember that soda ash is a manufacturing business that produces a product that in most applications has no known substitutes. Rather, our soda ash competes with an identical synthetically produced product that generally costs twice as much to manufacture and has a far inferior environmental footprint relative to our own natural production. As a result of this cost advantage, naturally produced soda ash, which is all we do is the baseload supply to the worldwide market throughout normal economic cycles. Less than 30% of the world's demand for soda ash is supplied by natural production. The other 70%-plus of global demand is supplied by synthetically produced soda ash. So, at the margin, market clearing prices must be high enough to cover the relatively high cost of a synthetic producer and a natural producer will ultimately benefit and receive a relatively higher margin because of its lower cost structure. If you're going to be in a commodity business, this is the kind of economic position you want to be in. As we stated in the release for the last 17 years, pro forma for the Granger expansion, this business has generated an average margin of approximately $50 per ton and that includes through the down years during the great Recession of 2008 and 2009 and the Black Swan COVID pandemic years of 2020 and 2021. Pro forma for the Granger expansion, we believe our approximately 4.8 million tons of production per year should generate on average approximately $240 million per year for us, plus or minus, over a normalized cycle. Around $200 million in an off year absent a Black Swan event and maybe as much as $280 million to $300 million in a good year like we experienced this last year. While there will always be some expected volatility in the segment performance, given soda ash as a commodity, I would point out that this business on its face is not unlike some of our midstream peers that also have a portion of their earnings that is subject to commodity price volatility, whether crude prices, natural gas prices, NGL prices, NGL nat gas spreads or basin differentials, I guarantee none of these peers have the advantages of being a market leader in a commodity that has no-no substitute, only competes with something that generally costs twice as much to make and has a reserve life of 300 or 400 years. As North America's largest producer of natural soda ash, a commodity that remains a fundamental building block of global economic activity and continues to play an increasing role in the energy transition from solar panels to batteries for electric vehicles and renewables energy, we remain extremely bullish on the long-term fundamentals of the soda ash business, regardless of any quarterly or annual price volatility. Our Granger expansion remains on schedule to have first soda ash on the belt towards the end of the third quarter or early in the fourth quarter. The incremental 750,000 tons will expand the total production capability of Granger to approximately 1.3 million tons of soda ash per year. These effectively free incremental tons will not only be additional tons to sell into margin starting later this year and into 2024, but they will also help further reduce Granger's cost structure as we will soon be able to absorb Granger's fixed cost over the approximately 1.3 million tons instead of its original 500,000 tons of annual production. We would also reasonably expect to be able to further optimize and ultimately debottleneck the expanded Granger facility to gradually increase production and continue to lower its operating cost over the coming years with minimal investment required. Recently, we've spent a lot of time -- we haven't spent a lot of time discussing our Sulfur Services or what we used to refer to as our refinery services business. Just to remind everyone, we are by far the largest producer of sodium hydrosulfite in North America and also by far the largest supplier of the sodium hydrosulfite in North as well as South America. 2023 has and will be one of the worst years in recent memory for the financial contribution from this business, which has averaged around $65 million of segment contribution margins for the 17 years that we've owned it. This is strictly driven by supply issues with operating difficulties at a number of our host refineries, where we have the facilities to handle the host for sulfur issues and make sodium hydrosulfide that we, in turn, take in kind and sell. We can sell everything we can make. We just haven't been able to make as much as we can sell due to various operating issues at our host refineries. Our 2023 guidance reflects a reduction in the contribution from this market-leading business of around $30 million from 2022 and around $20 million from its historical average. We are doing everything we can to address our supply issues, and we believe we can get this business back on that average trend over the next several years. Our Marine Transportation segment continues to meet or exceed expectations as market conditions and demand fundamentals continue to remain steady. We continue to operate at or near 100% utilization for all classes of our vessels, driven in large part by continued shortage of Jones Act tonnage. This lack of new supply and ongoing retirements of older Jones Act vessels, combined with steady demand, continues to drive spot day rates and longer-term contracted rates across our fleet approaching and hopefully soon to be exceeding the highest levels we have seen during our ownership of the Marine business. As we mentioned in our earnings release, we recently entered into a new three and a half year contract for the American Phoenix with a creditworthy counterparty. The new contract term will begin immediately following its current contract that runs through mid-January 2024, and we'll provide Genesis with the highest day rate we have ever received on the American Phoenix since we first purchased the vessel in late 2014. This new contract is indicative of the broader market today for Jones Act vessels with multiple potential customers looking to secure adequate tonnage over multiple years to move crude oil and refined products along the Gulf Coast, into the Heartland or to and from the Gulf Coast, East Coast and West Coast. We believe these broader industry fundamentals should continue to remain favorable for both our brown and blue-water fleets for the foreseeable future, and this can provide us with more opportunities to term out larger portions of the earnings profile from our marine transportation to the extent it makes sense. Regardless, these market conditions, when combined with the American Phoenix to effectively being contract to the middle of 2027 and should set up our Marine Transportation segment to deliver higher and steady earnings for the next few years. As competitor said recently, the marine transport business is in the very early innings of an upward cycle and day rates must meaningfully increase from where we are today to induce the construction of significant new tonnage across all classes of vessels. We like our position. As we look ahead, we continue to remain focused on completing our capital program in the next 12 to 15 months, all while not losing focus on our leverage ratio. As I mentioned earlier, and we'll reiterate again, the long-term story for Genesis has never been brighter. Upon the completion of our current growth capital program, we expect to start generating approximately $200 million, $300 maybe $400 million per year of cash flow after all. Let me repeat after all cash obligations I mentioned earlier, starting in late 2024 and accelerated into 2025. This will provide us with ample opportunity to deliver increasing value for everyone on our capital structure, while maintaining and strengthening our financial flexibility as well as potentially simplifying our balance sheet. I would again like to encourage everyone listening to this call to review our earnings supplement presentation on our website that details the key takeaways and highlights from our second quarter earnings to the extent that you have time. Finally, I'd like to say that the management team and the Board of Directors remain steadfast in our commitment to building long-term value for all of our stakeholders, and we believe the decisions we are making reflect this commitment and our confidence in Genesis moving forward. I'd once again like to recognize our entire work for their individual efforts and unwavering commitment to safe and responsible operations. And I'm extremely proud to be associated with each and every one of you. With that, I'll turn it back to the moderator for questions.
Operator: [Operator Instructions] And we'll turn to our first question, TJ Schultz. Your line is now open.
TJ Schultz : Great. Thanks. Hey, Grant, so to ask, I want to start there. You've bracketed with the expansion at a range of kind of $200 million in a down year, $240 million, call it, mid-cycle and $280 million to $300 million in a good year, so as you sit today, just given all the dynamics with the Mongolian production coming on and where you see demand trending? Is 2024 shaping up to be on the downside of that bracketed range or at the mid-cycle. I just want to understand a little bit better how you frame that $1 million downside and how some of your customers clearing their inventory before coming back for deliveries could direct you to that lower bound? Thanks.
Grant Sims: It's a good question, TJ. I think it's -- obviously, it's a dynamic market. But as we sit here today, we would think that we're going to be at the midpoint of that range in 2024, given the given our contracted portfolio, the portion of our contracts are subject to caps and collars in essence, already known pricing for '24 as well as we have seen recently, and this is very recent, but what appears to be a bottoming of prices. So at this point, I think we view 24 as kind of being a mid-cycle outcome.
TJ Schultz: Okay. Makes sense. And then looking at 2025, clearly, an outlook for a step change to more meaningful free cash flow. If I can just kind of focus on CapEx, once you get past Inc and the shelf expansion, what are the material potential capital projects that may come up? Are there other Gulf projects you are pursuing that would take newbuild pipe, or is there any major spend into as you would expect to need beyond the Grainger expansion? Thanks.
Grant Sims: Again, good question. No, there are absolutely no additional major capital expenditures anticipated or that we're working on or even on our radar screen at this point in time. I've said in the prepared remarks, the expansions and the construction of sync and the capacity associated with Sync as well as the expansion of the CHOP system in round terms, around 50% of the incremental capacity associated with Shannon that we're putting in is contracted for by the anchor tenant, so to speak. So we have we have prebuilt capacity to handle additional volumes that -- and we are in discussion on additional volumes, but that would not require additional capital from us, but would only access the existing thing. So -- and there are no additional significant growth capital expenditures from -- associated with Grainger. -- as I did reference in the prepared comments, Grainger is identical technology to our EDM facility at Westvaco, which is one of our 4 production facilities at our Westvaco facility, but originally it had a design capacity of 650,000 tons per year over 30 years with a little bit of money here a little bit there, and I'm talking one million or whatever, over the 30 years, we actually produced probably around 850,000 tons. So that's a type of small debottlenecking over a long period of time, opportunities. But that's a long-winded answer that the growth capital stops in call it, the third quarter, maybe some of the cash goes out the door in the fourth quarter of 24%, and we are in a position to reap the rewards from the investments that we have made.
TJ Schultz: Great. Thanks. I'll leave it there.
Grant Sims: Thank you.
Operator: Okay. Next up, we have Michael Blum. Your line is now open. Michael just disappeared. It looks like Michael's line actually disconnected, so we'll go to [indiscernible] back in. So next, we’ll got to [indiscernible]
Unidentified Analyst: Good morning everyone. Thank you for taking my question. Last quarter, you all gave us a little color on sort of the various areas of end market demand. I think you pointed to on the soda ash business that is, I think you pointed to some weakness in consumer related. Can you give us a little more color on what you're seeing on that front?
Grant Sims: Yes. I said a little bit of the consumer is pulling in discretionary expenditures under the circumstances, for the first time, we're seeing a decline in demand for container glass. Maybe people are drinking less or whatever that's indicative of perhaps, obviously, a little bit of a slowdown in general construction spending, and that's really what's the main driver in the weakening or the less than robust the recovery in the Chinese economy is the real-estate sector and construction sector is lagging behind given uncertainties and other things. So that's really where the pressure points are, if you will, on the demand side and generally speaking. But again, somewhat tempering that is -- and that's not unique to China. I mean other economies are slowing down a little bit, but a little bit of the offset that is happening is the dramatic increase in demand for soda ash for the construction of solar panels. And certainly, you read a bunch of the headlines about lithium production and a number of lift even here in the US as well as internationally increased lithium production to meet the demand for electric vehicles, all of which requires soda ash in usually in one form or another. So that's kind of where the -- where it is, because definitely, as we said in the remarks and in the release that it's a dynamic situation, and there's -- it's a much more balanced market than it was in 2022. But it's a cyclical market and we're very comfortable with where we're at.
Unidentified Analyst: Wonderful. Thank you. That's very helpful. Just switching gears a little bit. I'm wondering if you might be able to remind us or refresh us of, I guess, capital allocation plans as you look out the next couple of years, you've got obviously a big falloff in spending next year and the year after. Maybe if you could bracket for us timing, what your capital allocation priorities are? And what do you think ultimately you might start thinking about increased shareholder returns in one way, shape or form? That's all I've got. Thank you.
Grant Sims: Yeah, it's a good question. I mean, I think that -- it's going to be -- and we are very excited, as we said, have the high-class problem with what do we do with $200 million, $300 million, $400 million a year, no matter how you slice and dice it, discretionary cash flow. I think, first and foremost, we're committed to maintaining a leverage ratio consistent with how our banks look at the world, which is the only covenant that we have in our capital structure around four times. And then with that, then we have the flexibility to either simplifying the capital structure in terms of perhaps calling them or redeeming some of the existing convertible preferred and/or look at returning capital to the common equity holders, so all while maintaining that targeted leverage ratio. So I can't sit here today. It's something that the Board will consider as we go forward. But is certainly we have a lot of flexibility to return capital to everyone in the structure and all while maintaining a very conservative debt profile for the company.
Unidentified Analyst: Awesome. Thank you very much.
Grant Sims: Thank you.
Operator: All right. Next up, we are going to Michael Blum. [Operator Instructions] And next up we have Michael Blum. Your line is now open.
Michael Blum: Thanks. Good morning, everyone. Wanted to just one point of clarification for the balance of 2023 on soda ash, so have you now effectively locked in prices for the balance of the year? Is there still some potential movement this year?
Ryan Sims: There's -- as we have a portion of our portfolio is still subject to negotiation of price for the fourth quarter. But we've taken into account where we think that, that's going to come out as we sit here kind of halfway through the third quarter. And based upon what we see, we've taken that into account in providing the range that we gave you.
Michael Blum: Okay. Perfect. Thanks. And then, Grant, you made some -- in relation to the sulfur business, you talked a little bit about you're going to take some steps to get that kind of back to its normal kind of run rate cash flow. Can you talk a little bit about what those steps may be?
Grant Sims: It's basically we think that, it was beyond our control, what has happened to a number of our host refineries. One of our locations, actually half of the crude oil processing capacity, and therefore, sulfur handling requirement has been converted to biofuels. So that's -- there's nothing we can do about that structural thing other than try to increase production from some of our other facilities. So we believe that the operating upsets that occurred by a number of our host refineries are behind them. We're seeing a return to normal operating rates here in the third quarter and hopefully accelerated into the fourth, and based upon our daily discussions with the host refineries, because we want to be consistent and ready to help them as they ramp up that we think that 2024 will be a much better production year from our other locations that we experienced in 2023.
Michael Blum: Got it. Makes sense. Thanks for the time.
Grant Sims: Thanks.
Operator: At this time, there are no further questions in queue.
Grant Sims: Okay. Well, thanks, everybody, for joining. And we look forward to continuing a dialogue with each and every one of you. Thank you.
Operator: Ladies and gentlemen, that does conclude your call. You may now disconnect your lines. And thank you again for joining us today.